Operator: Good afternoon, and welcome to the Tracsis Plc Final Results Investor Presentation. Today, we are joined by David Frost, CEO; and Andy Kelly, CFO. [Operator Instructions] I'll now hand over to David to begin the presentation. Thank you.
David Frost: Yes. Thank you, Harry, and welcome, everybody. We appreciate you joining us today. It's a real pleasure to be here and presenting to most of you for the first time. Next slide. So on to the agenda. Andy and I will start by walking you through a review of performance in FY '25, and we'll then talk about the strategic direction, the growth opportunities and the outlook for Tracsis in FY '26 and beyond before we move on to take questions from you. Next slide. So just to set the scene from myself, a few key messages for FY '25. Firstly, performance improved in the second half, which meant we were able to deliver full year results that were in line with the revised guidance that we gave back in April. As part of that, we resolved the profitability issues in Traffic Data & Events, and we entered the new financial year in a much stronger position as a result of that. Secondly, we made good progress in the areas that matter most for the long-term success of the business. Recurring revenues are an important focus area for us, and they continue to grow at a healthy rate. We won new strategic multiyear contracts, both in pay-as-you-go and also in GeoIntelligence, which will support future revenue growth. And we also completed the transformation of our operating model, bringing the Rail Technology & Services division under a single global leadership while investing into next-generation product platforms, which we'll come on to later in the presentation. Market-wise, we continue to see uncertainty in U.K. rail, which looks very likely to persist through FY '26. Control Period 7 funding remains constrained, and the proposed renationalization of the train operating companies alongside the creation of Great British Railways is having a negative impact on procurement timelines. While the recently announced railways bill is a step forward, there is still a long way to go before GBR is fully up and running. So we cannot control the timetable, but Tracsis continues to be well positioned to help deliver the government's long-term strategic vision for the future of the U.K. railway. In our planning for FY '26, we had anticipated that these headwinds in the U.K. would continue. And so our expectations for the full year are unchanged and consistent with market expectations. In the immediate future, we are focused on building on our H2 performance with a major emphasis on execution. In parallel, we have a clear and focused strategy for driving longer-term growth and margin accretion. We will share more later in the presentation, there's no real change in direction, it's more about building on foundations and tightening up on how we put the strategy into action. Next slide. Before we go into the detail of the presentation, I thought it was appropriate to share and reflect on my first 100 days with the business. My first observation is that the fundamentals of the group remain really strong. Tracsis has a combination of market-leading technologies and deep domain expertise that differentiate us in the attractive transport end markets that we serve. We're continuing to win new strategic contracts and embed long-term customer relationships, which in turn support growing levels of annual recurring revenue. And the progress we've made in organizational transformation means we're now ideally placed to deliver our near-term priorities while positioning the business for future growth. Those near-term priorities are really clear for us. The leadership transition has been completed smoothly with a structured handover from my predecessor, Chris Barnes. There have been no other changes to the senior leadership team, and we are now focused on continuing to build organizational capability to support both FY '26 operational delivery and our longer-term growth ambitions. It's all about progressing the drivers of organic growth transformation, building the pipeline of future opportunity, investing in SaaS-native products and increasing penetration in international markets in a very disciplined way. We continue to believe that North America offers a significant long-term opportunity for the group. I have actually been there twice during my first few months and have met with customers, industry leaders and railroad CEOs while spending time with the Tracsis team in the region. It's pretty clear to me that we have a high-quality, well-differentiated profit -- product offering in North America with our PTC-enabled train dispatch software. The deployment with Northern Indiana that was completed in September of 2024 is operating well. And from my recent conversation with other railroad leaders, it's clear there's a healthy pipeline of opportunities across passenger, freight and industrial operators with the industry actively looking for credible new technology providers. It's no secret that our progress in winning new opportunities has been slower than we anticipated, but procurement timelines can be lengthy. Behind the scenes, the team have been working hard to build and progress our pipeline. We do need to remain patient, but I firmly believe North America is a key growth opportunity for us. And finally, we're continuing to review our portfolio alignment, something I know many investors are interested in. And to be clear, M&A remains very much a key component of our growth strategy and something that we're focused on. So with that, let me hand off to Andy, and he will talk you through the financial highlights for the year.
Andrew Kelly: Thank you, David, and good afternoon, everyone. So as David mentioned, our performance for the year was in line with the guidance we gave back with the interims in April. And that includes a much improved second half trading performance following a softer first half of the year. The second half improvement included the recovery in our Traffic Data & Events businesses, where actions that we took early in the year helped to improve profitability as well as the benefit from delivering the first phase of development work on a Tap Converter contract that we announced in February 2025. The group is typically more profitable in the second half of the year. That reflects the seasonality of our revenue streams. And in H2 of FY '25, we achieved an adjusted EBITDA margin of 19.2%, which was 331 basis points higher than in H2 of the prior year. And overall, we delivered modest revenue growth year-on-year despite the market headwinds that we referenced earlier. Importantly, within this, we've continued to deliver stronger growth in recurring and transactional revenues, which are key long-term value drivers. And in combination, these increased by 8% over the prior year. The group's balance sheet remains strong. We saw a healthy improvement in free cash flow generation. And we ended the year with GBP 23.4 million of cash on the balance sheet, having fully completed the GBP 3 million share buyback that we announced in April. We put in place a new GBP 35 million RCM in the second half of the year, and this remains undrawn. And on the dividend, we've maintained our progressive policy. We're recommending a final dividend of 1.4p per share, which would result in an 8% increase in the total dividend to 26p. So looking at the financial performance in more detail. As usual, I'll start with the group consolidated performance and then break out the divisional results in more detail. So total group revenue of GBP 81.9 million was 1% higher than prior year on a reported basis. It was 3% higher on a like-for-like basis after adjusting to revenue from the lower margin, non-software-related consultancy activities that we exited at the end of FY '24. Adjusted EBITDA of GBP 12.6 million was slightly lower than last year. And this really reflects 3 main drivers. Firstly, the Control Period 7 funding headwinds impacted volumes of our Remote Condition Monitoring hardware in the U.K. Revenues here were 42% lower than in the prior year, and this had an adverse effect to profit of approximately GBP 1.5 million. As you'll probably recall from the interim results, we have seen a significantly lower level of profitability in our Traffic Data & Events businesses in the first half. Second half performance here was much improved, I'll talk more about that when we get to the divisional review. However, the total profit contribution from this part of the business was lower than we achieved in FY '24. And offsetting these headwinds, the rest of the group delivered an EBITDA performance that was approximately GBP 2 million higher than last year. That includes the benefit from exiting those lower-margin consultancy activities as well as healthy underlying growth across the rest of the U.K. rail portfolio, excluding Remote Condition Monitoring. Over the last 2 years, we have completed a program of actions to transform the group's operating model. That's focused, in particular, on integrating and enhancing our technology, development and delivery capabilities. And alongside this, we've been working hard to upgrade operational systems, streamline our operating footprint, exit from lower-margin activities and, in some cases, contracts and address other legacy issues that have restricted our ability to deliver revenue and margin growth. Our FY '25 results include the final tranche of costs associated with these actions, with GBP 2.4 million of exceptional costs charged to the income statement, of which GBP 2 million were cash costs. Our statutory profit metrics were improved versus prior year. In addition to a lower level of exceptional costs, this also includes over GBP 0.5 million of additional interest income on our cash balances, and that includes the benefit from having centralized our cash management actions, which is one of the work streams that we completed as part of those transformation activities. So turning now to divisional performance, and I'll start with the Rail Technology & Services division. Total revenue in this division was 1% higher than the prior year. As I previously referenced, that did include a lower level of Remote Condition Monitoring hardware revenue in the U.K. from CP7 headwinds. And excluding this, the rest of the portfolio delivered revenue growth of approximately 7%. And as you can see from the charts on the right-hand side of this slide, the quality of revenue in this division is improving. And in FY '25, we delivered further growth in recurring and transactional revenues, which are the drivers of long-term value. Recurring software license revenue increased by 6% to GBP 23.2 million. And transactional revenues from our smart ticketing and delay repay products grew by 17% to GBP 4.1 million. The balance of the revenue in this division includes that Remote Condition Monitoring hardware revenue as well as milestone-driven project and bespoke development work. This was overall 14% lower than in FY '24, principally driven by the lower level of Remote Condition Monitoring hardware in the U.K. There was a lower level of project revenue in North America that followed the go-live of our Train Dispatch product with Northern Indiana in September 2024. And from a divisional perspective, that was offset by the first phase of development work on the Tap Converter that started in the second half of FY '25 and will continue throughout FY '26. EBITDA of GBP 9.6 million was 2% lower than the prior year that includes the approximately GBP 1.5 million adverse impact from Remote Condition Monitoring, offset by growth across the rest of the U.K. portfolio. Turning next to our Data, Analytics, Consultancy & Events division. Revenue here was 5% higher than the prior year on a like-for-like basis after excluding the exited consultancy activities. This was principally driven by high activity levels in events, where we achieved a record year with revenue in excess of GBP 20 million. That more than offset an overall lower level of revenue from Traffic Data. You may recall from the interims, we had approximately GBP 0.5 million revenue headwinds as one of our largest customers suffered a cyber attack in our first half of our financial year. That has been fully resolved. Activity levels in Traffic Data and with that customer return to normal in the second half of the year. However, we weren't fully able to recover that lost revenue from H1. We also saw a slightly lower revenue contribution from our GeoIntelligence business based in Ireland. And after a very soft first half, full year profitability in this division was overall consistent with FY '24. That includes a much improved performance in Traffic Data & Events. And whilst the absolute EBITDA contribution from those businesses was still lower than the prior year, together, they achieved an H2 EBITDA margin performance that was approximately 400 basis points higher than in H2 of FY '24, and we expect to see a full year benefit from that in FY '26. The lower EBITDA contribution on the Traffic Data & Events side was offset by professional services. Our GeoIntelligence business post year-end has won a multiyear contract with the U.K. government, and that underpins our growth expectations for FY '26. And then turning lastly to cash. The group continues to deliver a healthy level of cash generation. Despite the slightly lower level of EBITDA, free cash flow generation in the year of GBP 7.7 million was GBP 2.3 million higher than in the prior year. That was driven largely by favorable working capital movements including an unwind of the large trade receivables position that we had at the end of FY '24. There was a lower level of cash outflows relating to transformational activities and higher net cash interest received. Of the GBP 1.4 million cash outflows for exceptional items in FY '25, GBP 0.4 million of that relates to costs booked in FY '24. And there's approximately GBP 1 million of cash outflows that we anticipate in FY '26 in relation to costs that have been booked in FY '25. We've continued to invest in product development through the year, including future enhancements for our train dispatch product in North America. We also invested to acquire and develop the AI platform that's used by our Traffic Data business. Overall, our total cash balance increased by GBP 3.6 million to GBP 23.4 million. That includes completing the full GBP 3 million share buyback in the second half of the year. So this leaves us well positioned to continue to invest in a disciplined way, consistent with our capital allocation framework. And the new RCF provides us with additional headroom, flexibility and strategic optionality to invest for growth while continuing to maintain a robust balance sheet. So with that, I'll now hand you back to David to update you on the group's strategy and growth transformation opportunity.
David Frost: Yes. Thanks, Andy. As mentioned previously, we've refreshed our strategic thinking as we move into the next phase of growth. And look, our purpose is simple. We make transport work, but we do so while driving safety, efficiency and sustainability in our customers' operations. We want to lead the future of sustainable, intelligent transport, and this is a really dynamic and fast-moving space. Our world is becoming ever more digitized and more connected, and the importance of transport networks to support the way we live and work in safe, efficient communities is only going to increase. Our ambition is to be at the center of that, creating technology and solutions that revolutionize how the world moves and make a lasting difference. Next slide, please. At the highest level, we have a very substantial global transport market, which is growing at an attractive rate, fueled by the demand for safer, more sustainable and seamless journeys. There are endless opportunities for Tracsis within this, but we are choosing to play in rail and road segments of the transport market, where we have a presence today, deep domain expertise and cost leading technology. The tailwinds in these sectors increasingly align with the solutions that we provide from urbanization, population growth and aging infrastructure through to multimodal frictionless travel and the growing demand for digital transformation, automation and the deployment of AI, this is what we do. We are talking about long-term structural trends that play directly into our strengths, and we are well positioned to benefit from them. Next slide. So moving forward, we think of growth in the form of 4 transformation factors. Firstly, and importantly, our priority is to focus on our core markets continuing to expand into white space through cross-sell and upsell opportunities. Secondly, we will invest in our roadmaps, producing a pipeline of SaaS-native products that we can sell in our core and international markets. Thirdly, we will target international growth through the deployment of our go-to-market model, augmented by the new products and the services that we will develop. And then lastly, M&A will continue to play an important strategic role in supplementing and supporting our organic growth. We have a disciplined approach to investing in target opportunities, and all acquisitions will be fully integrated into the one Tracsis business structure. These 4 vectors give us a very clear, practical and deliverable pathway for long-term growth. Next slide. So our journey continues. We have a great business at Tracsis, one built on technology and deep domain expertise. We have completed the operational transformation phase, opening the door for the next logical chapter in our story, the growth transformation phase. There is an opportunity here for us to scale our business internationally, expand into attractive transport adjacencies and invest in SaaS-native products that address global market requirements while accelerating recurring revenue and margin accretion. Look, it's not going to happen overnight, but we feel we have the strategy, the capability and the ambition to deliver steadily and sustainably. We know what the building blocks are for us to make this long-term vision a reality, and we really look forward to sharing our progress with you all as we move forward. Next slide, please. Finally, we'd just like to recap on the key takeaways from today. We have delivered a much improved financial performance in the second half of FY '25, and our expectations for FY '26 remain unchanged, with ongoing U.K. rail uncertainty already factored in. Our short-term priorities are clear. Our underlying fundamentals remain strong, and we continue to win new multiyear contracts that grow our recurring revenue. In summary, we are prioritizing near-term delivery while we build for an exciting future, one defined by greater scale, improved margins and enhanced long-term value for our shareholders and other stakeholders alike. Next slide. So at this point, we're happy to take any questions.
Operator: [Operator Instructions] We've had some pre-submitted questions and questions submitted live. The first one being, Tracsis is trading at its cheapest multiple since it was listed in 2007. You have over 20% of your market cap in net cash. Stock buybacks would create a lot of value for long-term shareholders at these depressed levels. How high are these on your capital allocation priorities and why?
Andrew Kelly: Yes. Thanks for that, Harry. So in our announcement, we have laid out our capital allocation framework. So we've got clear priorities in 3 areas. So firstly, that's around organic growth, and that includes investment in new product development. Secondly, as David said, we see M&A as a core component of our growth strategy, applying very disciplined criteria to that with an intention to integrate acquisitions into our operating model. And then thirdly, from returns to shareholders perspective, we're committed to the progressive dividend. Right now, we haven't got any firm plans to do a further buyback, but as you can imagine. And as the question hints at the current levels, that will be something that we continue to review as we go forward.
Operator: The next question is, what is the acquisition pipeline of good businesses like?
David Frost: Yes. So look, coming into the business, I was really pleased to see that there is an active M&A pipeline. I think Andy and I would like to see more strength in that with higher-quality assets available to us, but having said that, we are actively pursuing opportunities today through this disciplined lens of making sure that it aligns fully with the strategic direction we're looking to take the business. So it must enhance the technology capability, it must help us to address the attractive adjacencies within the transport market and hopefully help us to progress on our internationalization plans that we have shared with you. So we expect M&A to be more of a bolt-on type approach, certainly for the near and midterm as we -- it's been 3.5 years since we've done an acquisition in this business. We believe we've got good foundation to get back onto the M&A trail, but do that in a very disciplined way. We're not considering anything transformational at this time because we do genuinely believe that there are good quality assets out there that fit the criteria that we are outlining here. And importantly, we now have the financial capital and financial firepower to be able to go and execute in this area of our strategy.
Operator: The next question is, there is cash in the bank, and you recently agreed a new RCM. Does this mean you're weighing up something more transformational from an M&A perspective?
David Frost: Well, I mean, I guess I've just covered that off in my previous answer to how we're thinking about disciplined approach on M&A. So nothing transformational on the agenda at this point in time, but certainly looking at bolt-on opportunity.
Operator: This comes from an investor. If I hold for the long term, i.e., 3 to 5 years, what's the main reason Tracsis' share price should go up?
Andrew Kelly: Well, we believe that there's an awful lot of growth opportunity available to the business. We have -- our top line has been flat for the last 3 years in this business while we've been delivering that transformation, while we've been putting those foundations in for future growth. So as David summarized at the start of the presentation, we've got extremely strong fundamentals here. We've got a rich IP in the business. We've got deep domain expertise. We've got a strong balance sheet, healthy cash generation, and a healthy capital position today. And we're embedded in a transport ecosystem and transport markets where we believe the digital journey has only just begun. So we see an awful lot of upside and future opportunity for the business. And that's really our focus as a management team is to deliver and execute on that and hopefully create a lot of sustainable value for all of our stakeholders going forward.
Operator: Another question on cash. H1 revenue was flat, but cash increased. How did you manage to generate so much cash despite lower EBITDA?
Andrew Kelly: So we have a fairly seasonal revenue pattern in this business, driven largely by the activity levels, particularly on our base side of the business in H2, but also in our Rail Technology business. So we typically end the year with a high trade receivables balance that unwound in the first few months of FY '25 as it typically does. So that helps to support the healthy cash generation in the first half of the year despite the lower EBITDA performance.
Operator: You say Tracsis is the go-to U.K. Rail Technology provider. If this is the case, how much white space can there be in your core markets?
David Frost: Yes. We think about core markets as geographically, U.K. and Ireland. And then from a transport market point of view, obviously, rail and road, but also some, what we call, land application areas for things like agricultural technology. So they are our core markets. And within that, there is a well-defined customer group that we serve today and have done since the birth of the business back in 2004. Having said that, we are well positioned across that customer group, but there is always opportunity for us to cross-sell and upsell the broader Tracsis portfolio. And I'll give you a good example of this because we think of this as land and expand. So when we sell to any customer, we do not sell the entire Tracsis portfolio on day 1, in fact, quite the opposite. We penetrate a customer by selling 1 part of our capability, and then we're really good at then landing and expanding. So once you are in, it gives you an opportunity to present the broader capability. Probably a good example case study to share with you is Transport for Wales, where we are now delivering both Rail and Road Technologies into that single customer, but that took time, took sort of patience and time for us to develop, but good example of our ability to do that. And that's what we mean by white space within our core markets. We are not selling the entire portfolio to every customer that we have today, and therefore, that continues to present opportunity for us as we go forward.
Operator: Why would international growth create value for shareholders? Isn't the market saturated with solutions already?
David Frost: I think the short answer is no to that. And hopefully, we've shared some of the color behind how we think about international markets today. We are -- Andy and I are very focused on firing up an organic growth engine in this business, something that we've not particularly had in the past. Tracsis has been borne out of a buy and build through acquisition principally. And we're now sort of turning attention to how do we really get organic growth to a level that we would like to see. And the investment in the product developments that we've talked to and then the disciplined internationalization of our business will be 2 growth factors that support the organic growth side of our strategy.
Operator: The U.K. Rail Funding headwinds, especially the CP7 hardware revenue decline of 42% in 1 category, what contingency plans does management have if those headwinds persist?
Andrew Kelly: Yes. Look, we see the headwinds in the U.K. Rail market at the moment persisting through FY '26 -- for our financial year FY '26, but we do see them as temporary in nature. The government has published the railways bill in the last few weeks, which is a key step on the path to creating Great British Railways. And we think when you look at the strategic objectives that are outlined in that bill around efficiency, around asset availability and network reliability and around rolling out pay-as-you-go ticketing, we think Tracsis is really well placed to support with that and to continue to be a key technology provider that enables that future. So I think it's less about having contingency plans. We have fully factored the current market conditions into our forward guidance and into our market forecasts. So we are not reliant on the market improving in order to achieve our FY '26 ambitions. And as David outlined when talking about those growth factors, we're laser-focused on being well positioned, maintaining that position in our core markets, ready to respond where those opportunities come, whilst also increasingly diversifying the business so that we're not fully reliant on factors that are fully within our control.
Operator: Do the internationalization efforts imply incremental technology investment? How much incremental investment should we expect over the next couple of years?
David Frost: Yes. We're going to start with rail in the international markets because that's where we think we are; a, the most mature and importantly, have the right products to position and sell into the international geographies. So that's kind of our start point how we're thinking about it. Undoubtedly, we will continue to invest in SaaS-native application software products. That is a commitment that we are making. And as we understand the requirements of international markets, we believe that will present further opportunity for us to consider the investment. But the important part of moving to SaaS-native products is that you are developing an offering that meets market requirements, not just the requirements of one specific customer. So that's one aspect of it. But we do genuinely believe that today, with some of the technology we have around digital ticketing, our capability around Remote Condition Monitoring and also some of the software around safe working practices are products that are right and ready to go into international markets today, and that's how we will be starting to move down that pathway.
Operator: Due to time, this will be the final question today. What should we expect in terms of PAYG revenue contribution over the next 3 years? With the National PAYG rollout, should we expect revenues to grow substantially from this year's levels?
Andrew Kelly: So if -- just as a reminder for everybody, it's all on the same page. So Tracsis secured the Tap converter contract in February 2025, which is to provide the back office technology solution that will underpin rolling out pay-as-you-go ticketing across the rest of the U.K. Rail Network. So we've got a contract to do the development work for that, which is giving us a full order book in that part of the business for FY '26. The rollout in terms of making that technology available to the customer will be delivered through the Rail Delivery Group and the transport operators. So we're not in full control of that. And therefore, we don't have full visibility right now in terms of exactly when that's going to happen and how that's going to happen. So when you step back from that, absolutely, we expect that as that technology gets rolled out and customer usage increases, our revenues there will increase, but we're not able at this point in time to be precise about the timing or even the quantum of that because it depends on a number of factors, including pace of rollout, speed of customer adoption, customer usage patterns, et cetera, et cetera. So in our forward guidance, we don't have any incremental pay-as-you-go transactional revenue in those numbers. As that comes into more focus, we will guide the market and guide investors. So we certainly see it as a significant opportunity for the business. We're just not able to fully size that ourselves at the moment.
Operator: I'll now hand back to the management team for any closing remarks.
David Frost: Yes. Thanks, Harry. So look, just in closing, again, much improved financial performance in second half '25. We feel good about our expectations in FY '26. They're unchanged despite some of the challenges ongoing in U.K. Rail. Short-term priorities for us are really clear, fundamentals underlying really strong. We're prioritizing near-term delivery, but we're also building for an exciting future. And hopefully, you've been able to see through sharing how we think about the growth factors going forward, there's an exciting future ahead for our business. And we really look forward to continuing to share progress with you as we go forward on this journey. So thanks for listening today. Thanks for your questions. Look forward to speaking with you all again in the future.
Operator: Thank you to David and Andy for joining us today. That concludes the Tracsis final results investor presentation. Please take a moment to complete a short survey following this event. The recording of this presentation will be made available on Engage Investor, and I hope you enjoyed today's webinar. Thank you.